Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Jumia's Results Conference Call for the Third Quarter of 2023. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a question-and-answer session. With us today are Francis Dufay, CEO of Jumia; and Antoine Maillet-Mezeray, Executive Vice President, Finance and Operations. We will start by covering the Safe Harbor. We would like to remind you that our discussions today will indicate forward-looking statements. Actual results may differ materially from those indicated in the forward-looking statements. Moreover, these forward-looking statements may speak only to our expectations as of today. We undertake no obligation to publicly update or revise these statements. For a discussion of some of the risk factors that could cause actual results to differ from the forward-looking statements expressed today, please see the risk factors section of our annual report on Form 20-F as published on May 16, 2023, as well as our other submissions with the SEC. In addition, on this call, we will refer to certain financial measures not reported in accordance with IFRS. You can find reconciliations of these non-IFRS financial measures to the corresponding IFRS financial measures in our earnings press release, which is available on our Investor Relations website. With that, I'll hand over to Francis.
Francis Dufay: Thank you. Welcome everyone, and thanks for joining us today. The third quarter was very important for Jumia, as we were able to achieve much of what we had planned when we changed both the strategy and the leadership of the company. We made clear then that the overriding objective was to reduce losses and move towards profitability. We are happy to report that this quarter has seen further significant progress in loss reductions, as well as cash management while we now see the impact of our growth strategy. Let's now look at a few key indicators. The adjusted EBITDA loss of $15 million in Q3 ‘23 was the lowest since our IPO in 2019. This represents a decrease in adjusted EBITDA losses by $31 million versus Q3 ‘22, down by 67% year-over-year and by 70% on a constant currency basis. For year-to-date, the adjusted EBITDA loss is $61 million, down by 61% compared to the $158 million in the first nine months of 2022. Our liquidity position amounted to $147 million at the end of Q3 ‘23, which reflects a decrease of $19 million in Q3 ‘23, compared to a decrease by $66 million in Q3 ‘22, down by 71% year over year. This is the result of our comprehensive plan to build a lean organization, stop certain unprofitable activities, and capture efficiencies in operations and marketing. We strive to run our business with a key focus on achieving profitability and positive cash flow, and Q3 ‘23 has shown great progress in that regard. There is, of course, still a lot of work, but we are excited by the next phase of the turnaround at Jumia. As also explained previously, growth is crucial and we are not only focused on cost reduction. We believe in our growth plan as we're already seeing positive signs while spending far less than in the past in all areas. We continue to execute our plan to build stronger fundamentals for growth in our core categories and we are starting to see the impact. Revenue reached $45 million down by 11% year-over-year and up by 19% on a constant currency basis. GMV reached $181 million declining by 25% year-over-year and by 3% on a constant currency basis. This compares to a decrease in adjusted EBITDA losses by 67% year-over-year and 70% on a constant currency basis, and a decrease in sales and advertising expenses by 74% year-over-year and 67% on a constant currency basis. Five countries reported positive GMV growth year-over-year on physical goods, both as reported and on a constant currency basis. These five countries accounted for 49% of the GMV from physical goods in Q3 ‘23. The GMV of our physical goods platform in all countries was down by 17% year-over-year and increased by 10% on a constant currency basis. The countries with positive GMV growth were the first in which we implemented our new strategy and the results give us confidence for the other countries in the group. As you are aware, there are a number of activities in the Jumia Group and we have decided to focus in particular on physical goods. This came with clear decisions to de-prioritize other areas so that we could focus on our organization on the right battles. For example, within physical goods, we chose to de-prioritize and streamline a number of categories such as FMCG. In food delivery services operated on our Jumia food platform, we chose to focus last year on our biggest markets and discontinued operations in three countries. Similarly, we decided to refocus our work on JumiaPay towards building a stronger enabler for our e-commerce business, thus increasing the penetration of JumiaPay on our platforms. All platform expansion of JumiaPay remains prioritized specifically in Egypt and Nigeria, where we have the relevant licenses. Let me now remind you of what we outlined when we took over leadership of the business. Strategies for cost control and profitable growth and our approach to making Jumia the preeminent e-commerce business in Africa. One year ago, we made a conscious decision to reorganize the company and focus on a few key priorities in order to establish a stronger foundation for growth. Today, we are pleased to see clear progress, not only in terms of costs and cash management, but also in terms of what we consider to be growth fundamentals. Our plan does not end here, and we still have a lot of work to do to execute on those priorities. This is just the start. Looking at the long term, we believe that this strategy will give us a unique advantage in capturing the growth of consumption and e-commerce in Africa. With the African population expected to increase by the UN (ph) from 1.5 billion in 2023 to 2.5 billion in 2050. We are looking at an amazing opportunity. We need to build the right assets for the long term, and we believe that our strategy is doing just that. We focus on creating a better value proposition for customers that we can sustain in the long run as well as create a barrier to entry. Let me outline some of the activities and initiatives that have produced a significant turnaround in the fortunes of Jumia. First, our supply side strategy and execution. As previously stated, we believe that demand in our African markets is large, but largely unfulfilled. And it is our goal to address this issue for our customers. We intend to do this by collaborating with vendors and brands to provide the greatest selection at competitive price points. Consumers in our markets are price sensitive and will seek the best deal, whether online or offline. Our efforts to create a stronger value proposition in core categories, which we define as phones, electronics, home and living, passion, and beauty, have resulted in better repurchase rates from new customers acquired in those categories, and increased average order value for physical goods. We seek to continuously improve our assortment and price points, working with both international brands and local vendors. Second, achieving operational efficiencies. Operational efficiency continues to improve, with fulfillment expenses per order excluding JumiaPay reaching $2.1 down by 26% year-over-year and 8% on a constant currency basis. Efficiencies were achieved while expanding our footprint in secondary cities throughout 2023. This expansion is being driven by the growth of our branded pickup stations network, which now accounts for 44% of physical goods deliveries, increasing by 8 percentage points versus last year. Third, improving marketing efficiency. While focusing on stronger supply, better outreach to customers, and an overall improved customer value proposition, we continued shifting the focus away from costly marketing channels in Q3 ‘23. This led to a decrease in sales and advertising expenses to $4.3 million, down by 74% year-over-year and 67% on a constant currency basis, as well as a reduction in consumer incentives such as vouchers and free shipping. Fourth, building a lean organization. We have built a lean organization with G&A expenditures, excluding stock-based compensation at $15.9 million, down by 43% year-over-year and 33% on a constant currency basis. This was primarily driven by savings on staff costs, after right-sizing our structure earlier this year. Year-to-date, the headcount in G&A functions was reduced by 317, which corresponds to a 19% headcount reduction. As part of the organizational changes, we have meaningfully reduced the size of our team in Dubai and relocated leadership positions to our African offices, closer to our consumers, our sellers, and our operations. Moving on, let's look into our usage trends in Q3. Quarterly active customers reached $2.3 million, down versus last year, but nearly stable quarter-over-quarter at minus 3%. We see this near stabilization in active customers versus Q2 as a positive development. Q3 seasonality with long holidays and back-to-school expenditures weighing on household budgets is typically less favorable than Q2 in our core categories. Additionally, we held a major commercial event called Jumia Anniversary in June, but no similar promotional activities took place in Q3. The company received a total 7.2 million orders in the last quarter, which is down 23% compared to Q3 2022. Year-over-year decrease is largely driven by actions taken to recalibrate our products and services portfolio, moving away from the most unprofitable categories with limited consumer lifetime value. This has impacted usage, but it was the right thing to do since we want to drive profitable growth. However, orders were up by 11% compared to Q2 ‘23. This positive development is driven by an increase in JumiaPay app orders, thanks to some promotional activities. Physical good orders remained nearly stable quarter-over-quarter, declining by 1%. Similar to the trend in active customers, we see the stability in physical goods orders as a positive evolution with regard to seasonality effects and lower promotional intensity in Q3. GMV reached $181 million, down by 25% year-over-year and by 3% on a constant currency basis. This is a significant improvement versus Q1 and Q2 ‘23 when our GMV decreased respectively by 22% and 25% year-over-year, and 6% and 11% on a constant currency basis. This trend is primarily driven by physical goods, with GMV of physical goods down by 17% year-over-year, but up by 10% on a constant currency basis, primarily as a result of our efforts to focus on core categories. As we have explained in more detail over the past quarters, microeconomic trends remain challenging. High inflation across markets and currency devaluations have an impact on both customers and vendors. However, we believe that our strategy, which places a strong emphasis on securing supply and better price points is very effectively mitigating these challenges. For example, Ghana was one of our fastest growing countries in Q3 in terms of GMV. This happened against a challenging macroeconomic backdrop with 38% year-over-year inflation in Ghana, the highest level across our 11 countries, very negatively impacting purchasing power. Despite this, our team did an outstanding job of making our product lineup more competitive in the electronics, appliances and fashion categories, especially with entry-level brands. This was combined with very efficient marketing strategies focusing on price leadership and targeting cost-conscious consumers. Let's now look at our progress in building stronger core categories in physical goods. We have identified key categories in which we want to succeed and become the top choice for consumers across markets, phones, electronics, home and living, fashion and beauty. These categories were selected back in late ‘22 based on simple criteria, relevance to our consumers and market size, ability for Jumia to source supply, based on our experience across 11 countries, and expected profitability of each segment, especially taking into consideration challenges in logistics. This exercise led to the de-prioritization of some categories, such as groceries, where sourcing is complex and economics are very challenging for e-commerce. Our focus in ‘23 has been on developing a better supply chain across these categories, using a variety of methods in all countries, such as, first, improving vendor experience, working particularly on spinning up payments and fixing operational paying points for marketplace vendors. Second, we are providing better support and planning for key partners in different countries, usually known brands or their authorized distributors. Third, we aim to secure more partnerships to distribute international brands in Africa. For example, we signed an agreement with Starlink back in October ‘23 and will soon be distributing their residential kits in Nigeria to start with. We are thrilled to join forces as a key partner of Starlink to expand this groundbreaking technology across Africa. This aligns perfectly with our mission of using technology to improve lives across the continent. Fourth, we are also strengthening our cooperation with long-term partners by enabling them to expand through the continent with Jumia's support. We are pleased to share that we have agreed new partnerships in Q3 with renowned brands, notably with L'Oreal and Adidas. And fifth, we improve the management of our vendors base in China. As part of the Jumia Global Program, Chinese vendors are able to address the unfulfilled demand in categories like home products and electronic accessories across our markets. For example, we have taken steps to improve the profitability of our vendors and reduce the operational leakage while securing more supply from them. These actions are starting to bear fruits. We see in Q3 several important trends materializing. Our mix is changing in significant ways, and the share of GMV and items sold from our core categories is increasing. Particularly, home and living categories have demonstrated strong progress with GMV growing 24% year-over-year and 62% on a constant currency basis. The share of items sold from non-core categories, primarily including FMCG and groceries, decreased from 21% in Q3 ‘22 to 13% in Q3 ‘23. As a logical consequence, average order value for physical goods is improving, from $37 in Q3 ‘22 to $39 in Q3 ‘23. Increasing the AOV is an important enabler for profitability, while we also decrease our fulfillment expenses per order. We have a great case example of the relevance of this strategy in Senegal. While we had historically struggled with volatile or insufficient supply across our core categories in Senegal, our team based in Dakar, managed to build a much better assortment, leading to robust year-over-year growth in both GMV and orders in Q3 ‘23. For example, in the home and living categories, we have built stronger relationships with local suppliers and agree on yearly supply plans with a view to securing consistent assortment across the whole year. We have also worked to grow specific categories with several Pan-African and European brands willing to enter this market, such as Leroy Merlin, a leader in the home improvement category in Europe, which stands exclusively on Jumia in Senegal. What you see here is just the beginning of a very broad transformation. We are happy to see this early impact, but there is still a lot to be done, and a high unmet demand to be served. The priorities set for 2023 on supply on core categories will remain at the top of the agenda for 2024 as well. Progress on supply in our core categories is a critical part of our strategy and enables us to change the way we drive growth. In the past, we invested a lot of money and management attention in stimulating demand. We spent heavily on expensive online marketing channels, as well as customer incentives such as free shipping, vouchers and other customer discounts paid by Jumia. These often generated unprofitable volumes. We are now building on what we believe to be much healthier fundamentals. First, we believe that improved assortment and price points will enable us to drive more free traffic from being a top-of-mind destination for consumers, as well as improved repurchase rates. We are pleased to see early impact on our cohort's behavior, as the 30 days repurchase rate of our Q3 ‘23 cohorts of new customers acquires from our core categories has already increased by 2 percentage points compared to the same period last year. Second, we have been expanding our logistics reach and marketing actions outside of the capital cities. There, we seek to penetrate markets historically underserved by both physical retail and e-commerce. In the cities, we run very efficient market activities resulting to mostly offline actions and leveraging our large JForce network of commissioned agents. And third, our marketing teams have focused their efforts on growing free channels, such as customer relationship management, CRM, and search engine optimization, SEO, and improving the efficiency of the other channels such as paid online marketing. For example, the share of CRM in total visits to physical goods on our platform in Q3 ‘23 increased by 25% year-over-year, thanks to beta customization of push notifications sent to our app users. Similarly, the share of SEO increased by 36% year-over-year. This strategy enables us to secure significant efficiencies in marketing. At Group level, sales and advertising expenses decrease by 74% year-over-year and 67% on a constant currency basis, as we are particularly scaled down on online marketing channels. On physical goods, we also significantly scale down the vouchers campaigns, free shipping and other discounts funded by Jumia, leading to a decline in the share of orders benefiting from such consumer incentives from 44% to 27% year-over-year. Let's look at how this strategy is working out in another country, Uganda, where we made progress on all three dimensions this year. Looking at supply improvements, we have recorded strong year-over-year growth in beauty, home and living, and electronics, thanks to our efforts aimed at building more consistent supply and price leadership. Increased sales from these categories more than offset the decline in the FMCG segments. We also started a major plan to expand our distribution footprint across Uganda at the end of 2022. And we are now reaping the first benefits, with a greater share of new customers and orders coming from cities outside of the capital. For instance, our team achieved great results in the northern regions in cities like Gulu and Lira, thanks to faster delivery and very relevant offline marketing campaigns in those cities. Looking at marketing channels, we focused on improving our CRM routines, sending more customized offers to various segments of app users and thus driving more visits to our platform. All-in-all, strong execution of the group strategy in Uganda led to robust year-over-year variable growth in Q3 ‘23 on both GMV and orders, while sharply reducing marketing costs and improving our economics. We see similar stories across countries on physical goods, already enabling five countries to report positive year-over-year GMV growth in Q3. We see this as very positive evolution, which we believe confirms that our strategy enables us to build long-term growth while preserving our cash. Let's now look at recent developments on JumiaPay. As explained previously, we have decided to focus primarily on making JumiaPay an effective enabler of e-commerce. We are working towards this objective in several ways. First, we are integrating more relevant payment methods for customers to complete their orders on Jumia platforms. Although, we already have a broad range of payment methods such as credit cards and mobile money wallets, we keep on adding new solutions based on the needs of customers in each and every country. Second, we are rolling out JumiaPay on delivery. This feature allows customers to pay digitally upon delivery of their order, thus reducing the need for cash and simplifying our operations. In Kenya, 80% of physical goods transactions in Q3 ‘23 were completed using JumiaPay compared to 28% in Q4 ‘22, driven by the introduction of JumiaPay on delivery. Third, we are developing Buy Now Pay Later solutions in partnership with third-party credit providers to support purchases on our platform. Through JumiaPay, our customers can access consumer finance options offered by third-party partners, who are responsible for credit underwriting and loan disbursements. As a result, we see constant progress in the share of transactions paid through JumiaPay, from 17.8% in Q3 ‘22, sorry -- to 27.1% in Q3 ‘23 for physical goods, and from 23.9% to 34.2% for food delivery. Total JumiaPay transactions increased by 8% year-over-year in Q3 ‘23, driven by an increase in orders on the JumiaPay app, thanks to promotional activities. JumiaPay TPV is down by 28% year-over-year, reflecting foreign exchange variations in Nigeria and Egypt and up by 3% on a constant currency basis. Looking at off-platform opportunities, we believe that JumiaPay has strong development potential to process payments on behalf of third-party merchants. We want to drive off-platform development in a disciplined manner, starting in Egypt and Nigeria, where we have already obtained the relevant licenses to do so. I will now hand over to Antoine, who will walk you through our financials.
Antoine Maillet-Mezeray: Thank you, Francis. Hello, everyone. Let's start with the review of our top line performance on Page 11. Revenue reached $44.9 million in Q3 ‘23 down 11% year-over-year and up 19% on a constant currency basis. FX was a significant headwind to revenue performance. First party revenue was $21.9 million, up 33% year-over-year, and 85% on a constant currency basis. We experienced significant growth in first party revenue from business opportunities in Egypt. This is consistent with our focus on improving supply from retail whenever relevant. Turning now to growth profit. Growth profit reached $25.1 million in Q3 ‘23, down 23% year-over-year and up 2% on a constant currency basis. Gross profit margin as a percentage of GMV reached 13.9% compared to 13.5% in Q3 ’22, supported by improved retail margins and reduced spending on consumer incentives and promotions. Let's now move to cost, where we continue making significant progress. Fulfillment expense amounted to $12 million, down 48% year-over-year and 35% on a constant currency basis. Importantly, we continue achieving record levels of logistics efficiency. Fulfillment expense per order excluding JumiaPay app orders which do not incur logistics costs decreased by 26% year-over-year to $2.1 from $2.9 in Q3 ‘22 and 8% on a constant currency basis. As a percentage of GMV, fulfillment expense improved from 9.6% to 6.6%. This consistent improvement reaffirms the significance of our ongoing logistics transformation as we continue to build upon the success of our logistics optimization initiatives. These include a higher share of pickup station deliveries, which increased from 36% of shipped physical goods orders in Q3 ‘22 to 44% in Q3 ‘23. We persist in our strategic expansion of the pickup station network to penetrate under tapped areas of the market in a cost-effective manner. We've expanded our footprint beyond main cities, enhanced warehousing staff productivity, reduced packaging costs, along with many other initiatives. This improvement in efficiency illustrates our ability to capture savings across our logistics chain, while strategically expanding our logistics footprint outside of the main cities and improving our customer experience. Sales and advertising expense amounted to $4.3 million in Q3 ‘23, down 74% year-over-year and 67% on a constant currency basis as we continue bringing discipline to our marketing investments. We see a clear improvement in our marketing efficiency ratios with sales and advertising expense per order decreasing by 66% from $1.7 in Q3 ‘22 to $0.6 in Q3 ‘23. As a percentage of GMV, sales and advertising expense reached 2.4% in Q3 ‘23, which is more than 400 basis point improvements year-over-year. This reduction in sales and advertising expense reflects our strategy to build a stronger customer value proposition that emphasizes better supply of physical goods and geographical reach over costly marketing campaigns and promotions. We believe that this is the most relevant and viable approach to our African markets. We have already experienced positive development across five markets where physical goods GMV is growing year-over-year, despite significantly reduced marketing expenditures. Moving on to technology and content and G&A expense. Tech and content expense reached $10.1 million, down 26% year-over-year, as reported and on a constant currency basis, and down 9% quarter-over-quarter. While we have meaningfully reduced costs in the last year, we remain committed to driving further savings in the future. Our efforts to rationalize infrastructure and software costs and staff structure are ongoing and we see additional opportunities for efficiency. These include locating an increased share of our developers and tech personnel in Africa closer to our customers and sellers. Technology is a core part of our DNA and we remain committed to developing better products and features to improve the experience of all participants on our platform. G&A expense excluding share-based compensation reached $15.9 million in Q3 ‘23, down 43% year-on-year, and 33% on a constant currency basis. G&A expense included a $6 million beneficial impact from a tax provision release. Excluding the impact of this provision release and share-based compensation, G&A expense was $21.9 million in Q3 ‘23, down 22% year-over-year and 11% on a constant currency basis. The staff cost component of the G&A expense, excluding share-based compensation expense, decreased by 32% year-over-year as a result of the organizational changes that have been implemented. Moving on to balance sheet and cash flow items. CapEx in Q3 ‘23 was $0.3 million as we remain committed to an asset-light model. Our liquidity position reached $147.4 million comprised of $44.3 million in cash and cash equivalent and $93.1 million in term deposits and other financial assets. Our Q2 ‘23 liquidity position amounted to $166.3 million, marking a decrease of $19 million in Q3 ‘23 compared to a decrease of $66 million in Q3 ‘22 and a decrease of $39.1 million in Q2 ‘23. The reduction in the base of the decrease of our liquidity illustrates our efforts to preserve our available cash resources. Net cash flow used in operating activities reached $24 million, down by 55% in Q3 ‘23 compared to the same period in ‘22. For the third consecutive quarter, our working capital remained positive, with a cash effect of $0.4 million in Q3 ‘23. This positive trend reflects our efforts to increase efficient management of receivables, inventory, and payables, which are designed to improve our overall cash position. I now hand over to Francis, who will walk you through our guidance.
Operator: I too apologize. We appear to have lost Francis' line.
Antoine Maillet-Mezeray: So mainly I'm going to do it. We remain committed to reducing our losses, improving our cash efficiency, and progressing towards profitable growth. Considering the meaningful expense reductions made in the nine months ended September 30, 2023, we currently expect the adjusted EBITDA loss of $80 million to $90 million compared to the previously communicated range of $90 million to $100 million. This implies a 57% to 61% year overall reduction in adjusted EBITDA loss. Our initial guidance for adjusted EBITDA loss ranged from $100 million to $120 million. As you can see, we are ahead of our projections, thanks to strong execution. This quarter was an important for Jumia, as we believe it shows that we can achieve the ambition that we set about one year ago when we outlined our new strategy. We have made steady progress on cash efficiency and our growth strategy is now developing positive signs. Going forward, we are focused on further improving our economics and achieving profitable growth. More than ever, we believe that we are doing the right thing to grow a profitable business, and we are confident in our ability to capture the amazing potential of e-commerce across Africa.
End of Q&A: Thank you. At this time, we will be conducting our question-and-answer session. [Operator Instructions] As we have no questions in queue, at this time, this concludes today's conference. And you may disconnect your lines and we thank you for your participation.